Unknown Executive: Welcome to everybody. We're just going to wait half a minute or so, to let everybody get on to the event today. There's been a lot of interest, which is good to see. So just bear with us. Right. Okay. I think we've got a decent number now. So welcome to the webinar today from McBride, who will be covering their recently announced interim results and also talking a little bit about the outlook for the business. One or two administrative points first. This presentation is being recorded. So should you miss any of it, you can watch it again. We will be very keen to address questions after the formal presentation, which you can submit via the question button on your screen. And the presentation deck that the boys will be talking to is already available on the McBride Investor Relations page as well, along with lots of other useful materials. We're very pleased to be welcoming back CFO, Mark Strickland; and the CEO, Chris Smith. And I'm now going to pass over to you, Chris, if you can start the presentation.
Christopher Ian Smith: Thanks, Andy. Good morning to everyone, and welcome to our interim results deck and presentation for the 6 months to the 31st of December 2025. We'll cover today -- on the next slide, please, Andy, a series of -- I will cover off headlines and an update on our business progress before I hand over to Mark, who will take you through a more detailed look at some of the financials, and then I'll come back to myself for the outlook and then into questions, as Andy said. Before I step through the various slides, I'd just like to comment that there are three key themes that the past 6 months can really be summarized by: First, a continued delivery of our strong financial and operational performance for the third consecutive year now. Secondly, the passing of a significant milestone in our transformation journey with our first SAP go-live in November. And then third, a clear demonstration of a balanced approach to capital allocation to support both short-term shareholder returns and longer-term value creation from business investment. Next slide, please, Andy. This is the sixth set of results, interims and finals that I presented, where the group has reported profitability levels at double the historic average, cementing our new financial strength and our optionality to deploy resources to support future growth, in line with our ambitions as we set out at our Capital Markets Day about 2 years ago. The market continues to move in favor of the private label offer we provide with the latest data showing that private label share has started rising above recent all-time highs, providing a solid platform for McBride to continue to prosper. Our divisional and central teams continue to drive the business forward, tightly aligned to their strategies, supporting our customers as our private label proposition expands to provide value to the retailers and consumers alike. McBride's private label volumes continued to grow this past period, albeit at slightly lower levels than we saw in the past 2 years, with total sales revenue increasing just under 1% to GBP 475 million. We have secured a robust pipeline of new business wins, expected to start during the second half year, leading to positive momentum as we exit financial year 2026, and we move into the next financial year of '27. Our excellence and transformation agenda has continued at pace these past 6 months. Productivity and other operational improvements, together with tight management of overheads has seen margins maintained despite competitive pricing pressures and inflationary pressures. EBITDA, EBITA, and PBT all remain consistent with the first half of last year, with EBITDA margins just under 9% for the first half and with the full year expected to be over 9%. I'm really pleased to be able to confirm that our first SAP S/4HANA go-live in the U.K. was successfully completed in the period after 2 years of preparation and design. This multiyear program is the platform for future efficiency and operating excellence as we upgrade McBride to the latest best-in-class ERP systems. Our continued strong profit levels and cash generation has supported a balanced approach to capital allocation. In the period, nearly GBP 13 million of shareholder returns were deployed in the form of reinstated dividends, share buyback program and share purchases to reduce future dilution from employee share awards. Our overall share price rise since September 2025, represents a market cap price of approximately 40%. Additionally, capital expenditure rose to support growth, efficiency and transformation programs. The group remains active in considering all options for deployment of capital in seeking to grow shareholder value. I'm now going to move on to provide an update on a series of key business progress topics. At our Capital Markets Day in February 2024 -- the next slide, please, Andy -- we set out a number of key ambitions to measure our progress. At this midpoint of FY '26, we remain committed to these key targets over the coming years, and our progress since 2024 continues to perform in line. Our volume growth, whilst a little slower these past 6 months, is comfortably ahead of the target set in 2024 cumulatively. We have an encouraging set of contract wins starting in the second half, which is expected to support better growth rates into FY '27, and a number of other material growth options in development at this time. Our EBITDA margins are consistently around the 9% level, with another 1% required to reach our 10% ambition and almost at the double of the level of the historic levels of 5%. We said at the Capital Markets Day in February 2024, that shareholders should expect some minor variability of this ratio as modest input cost swings will either benefit or impact the group's profitability between periods. Our debt position remains well within our targets, and this is after nearly GBP 13 million deployed in the past 6 months for shareholder returns. Our long-term committed facilities and liquidity availability provides ample scope for further capital deployment in pursuit of our strategic ambition. ROCE remains well above the targets and our work on excellence and transformation is delivering tangible improvements to support and develop the robust platform the group needs to support long-term success. Moving on to an update on the markets that we supply. We present here the usual panel data, which we receive each quarter. As a reminder, the data is 12 months trailing value and volumes. It covers the top 5 economies of Europe, all the bricks-and-mortar retailers and all the household categories that we supply. We've been tracking this data for over 4 years now. Having grown substantially between 2022 and 2024, private label market share in volume terms, as shown by the green line on that chart, stabilized over the last 12 to 18 months. This latest data insight, however, shows that the overall total market continues to grow a little bit towards the lower end of our 1.1x to 2x -- sorry, 1% to 2% projections, with private label again outperforming brands across all categories, with private label volume share now up to 36.1%, a 0.3% rise compared to the last 4 quarters. We will wait to see over the next 2 data drops if this further rise is sustained, but this latest data confirms our view that the more likely direction of travel is for private label to continue to take share and not revert back to pre-2022 levels. Moving on to the divisions, and I'll now give a brief update from all the businesses. Next slide, please, Andy. Mark will cover off the financial performance later, but we have seen strong profits progress overall in Unit Dosing, and Aerosols, but Liquids, and Powders was slightly weaker. The Liquids division has had a very busy period and at the same time, has had to handle the first go-live of the S/4HANA program at the U.K. Liquids site. The division saw overall volumes higher, especially from contract manufacturing, which was up 9%, with private label flat. The uncertainty on the rollout of the EU's deforestation regulation or EUDR, has seen pressure on certain raw materials, especially for the Liquids business, where palm oil derivatives are actively used. As a result, the division did see modest rises in material costs in a market where such small rises are not really able to be passed on. The business, however, was vigilant, of course, in its cost management and product engineering, and managed its margins very well in the period. With future growth anticipated, especially from laundry, the division continued to invest in capacity and new packaging formats to be able to secure new business going forward. In Unit Dosing, we saw a strong operational performance with the benefits of our Flexilence program, where we now ensure that all our pod formats can be supplied in all the various packaging formats required by customers, yielding output and headcount efficiencies. Overall volumes here were lower year-over-year, but all in contract manufacturing, where a loss contract from last year annualized out at December. Private label volumes were flat, some ins and some outs amongst various customers and some delays in a few product launches. But strong wins in recent tenders are expected to launch in the second half and early into FY '27 to provide good growth prospects ahead. The Powders business continues to outperform its strategic targets overall. The market for private label laundry has remained steady with private label share growing as branded volumes continue to fall. Total volumes for our division in McBride in Powders were broadly flat with an overall private label slightly weaker than our contract business, which is about 40% of revenues in this division. Like the other divisions, recent wins expected to launch again in the next 6 months or so will provide good growth in future periods. In the meantime, strong operational control and focus has seen margins steady with some automation capital investment introduced helping drive margins higher. Our Aerosols team have delivered again this year. Volumes were 15% higher and are now close to the 100 million cans target. Very strong growth in Germany was a result of focus over the past few years in this targeted market. A GBP 2.5 million investment in a new production line is mostly complete now and is providing the capacity needed to take us past the 100 million cans level. Finally, our Asia business, so we had a bit of a mixture with weaker-than-expected private label sales in Southeast Asia, and a quieter Australia with a loss of one part of the traded goods supply from our European business. However, prospects are looking more positive with our first household wins in Australia for products made in Malaysia expected to launch in the next month or so and a series of new contract manufacturing opportunities in discussion. Moving on to an update on our transformation program or excellence agenda, as I call it, and this has continued at pace through the period. After over 2 years of setup and design work from the SAP team, we successfully launched the new global template with the first go-live start of November in the U.K. business and Corporate Center. It is pleasing to confirm that the business is operating as usual with some limited disruption in the early few weeks to our warehouse operations, where whilst the systems are working, we became capacity limited. We did miss some sales in that short period of time, which we estimate to be about GBP 3 million with a roughly GBP 1 million impact to EBITA. This challenge was resolved quickly, and the business has seen record output and shipment days since. The focus here has now moved quickly to lessons learned, and we're now deep into planning the Wave 2 rollout of this new global template to ensure we maintain pace towards the efficiencies and benefits that will accrue once we have more locations on this new platform. The other 3 main programs in the overall plan: service, commercial, and productivity are all now into business as usual, with the service program completing in September and the commercial excellence project completing in December. Both are yielding good results with improved processes in use across the business and visible KPI improvements. Next slide, please. The past 6 months has demonstrated the group's flexible approach to capital allocation. With the strength of the group's trading position and its funding capacity, we have deployed nearly GBP 30 million in shareholder returns. At the AGM in December, shareholders approved the Board's recommended recommencement of annual dividends with the resulting payment in November of GBP 5.2 million. In light of the market valuation so far below the Board's view on where the group should be valued, the Board launched two value initiatives in the autumn. First, GBP 6.4 million was spent on buying shares at an average price of GBP 1.26 through the Employee Benefit Trust, or EBT, in order to fund the EBT with adequate share levels to use for satisfying future incentive awards that are expect to divest in the next 2 years. These share awards would normally be satisfied by new issue shares, thus diluting the total shares in issue. And hence, this action worth approximately 0.7p per share of reduced dilution in future EPS calculations. Secondly, the Board launched a GBP 20 million share buyback scheme in December. There was only 1 month for buying until the end of the half year, but GBP 1.3 million have been deployed to 31st of December. All of these actions have supported a strong recovery in the share price and our market capitalization, up approximately 40% since final results in September last year, a significant rise. But as a reminder, we are still only trading on a 4.9x EV EBITDA multiple. At this point, I'm now going to hand over to Mark for a more detailed financial review.
Mark Strickland: Thank you, Chris, and good morning, everyone. The McBride business has delivered another solid set of results. As well as delivering good results, the business has also demonstrated a balanced approach to capital allocation, prioritizing short-term shareholder returns whilst at the same time, retaining the flexibility to fund our longer-term ambitions. As a result, I continue to have huge optimism for what the business can continue to deliver for its shareholders into the future. So looking at the financial highlights. Group revenues were up GBP 3.8 million, 0.8% on an actual basis, but on a constant currency basis, they were down slightly 2.1%. Whilst private label and contract manufacturing volumes were both up, McBride branded volumes suffered slightly and declined. Adjusted operating profit was down slightly to GBP 31.5 million. Without the SAP impact, adjusted operating profit would most likely have been up slightly. As in previous years, profit levels have been maintained through good margin management and overhead cost control. Adjusted EBITDA at GBP 41.8 million was on a par with the previous year's first half. Earnings per share were down to 10.8p per share, predominantly due to a particularly hard prior year comparator in relation to taxation, which was 25% in the last year first half versus 30% this year. We expect full year 2026 taxation to be broadly in line with the full year prior year rates. Over the last 3 years, we have progressively strengthened our balance sheet through cash generation and debt control, this period being no different. For the first half of the financial year, our free cash flow was a generation of GBP 24 million. And our debt -- net debt only increased slightly to GBP 120.6 million despite the nearly GBP 13 million paid out in dividend, the EBT and on share buyback. This shows that the business through its proactive capital allocation policy has the ability to balance both the short-term shareholder returns whilst retaining a flexible platform for future investments in growth, be they organic or through M&A type activities. Looking at financial performance. This slide looks at the group and divisional performance on both an actual and constant currency basis. There were 3 main drivers of the actual revenue growth of 0.8%. One, firstly, volume; secondly, price and mix; and thirdly, FX. The volume growth of 0.4% arose from contract and private label volume growth, combined with the Aerosols continued growth. And as I said earlier, that was offset by a reduction in the McBride branded volumes. The second impact was the price and mix impact with two elements at play. Firstly, there's been an element of pricing pressure, but this has predominantly been offset through product reengineering and ongoing margin management. Let me explain that further. In other words, whilst the selling price may be lower, the profitability is often similar to other products as these are often lower cost format products. Secondly, there were more sales of lower value products in the first half of the financial year compared to that of the prior financial year. The third and final impact was FX, mainly with the pound-euro exchange rate moving towards the EUR 1.15 to the pound. Next, the divisional review. So looking at Liquids. At a revenue of GBP 269 million, the Liquids division represents around 57% of the group. As mentioned earlier by Chris, there was a limited impact in November and December from the SAP S/4HANA go-live. Despite this, volumes grew 0.1% with most markets stable and only France displaying a slight decline. Margins were impacted by competitive pressures, inflation and some marginal raw material increases that couldn't be passed on to the customers given their small size. The division still delivered an adjusted operating profit of GBP 17.7 million, which represents a return on sales of 6.6%. We continue to invest in this business for the future. Now moving on to Unit Dosing. For the first half of the financial year, the Unit Dosing division delivered a revenue of GBP 116 million. On a revenue basis, the Unit Dosing represents circa 24% of the group. Whilst contract manufacturing volumes were weaker in the first half, the outlook is good for year-on-year overall volume growth in the second half of the financial year. The division delivered improved profitability in the period of GBP 12.5 million as a result of continued production efficiencies, the benefits of transformation and ongoing tight overhead cost control. At 10.8%, the division's return on sales is a pleasing step-up from the prior year. Finally, the Unit Dosing division through its Flexilence initiative and the range of its formats it can now offer -- for example, its soft pods portfolio -- continues to be well set to continue to gain business in future tenders. Moving on to Powders. At circa 9.5% of our overall revenue, the Powders division operates within an overall steadily declining market. Sales at GBP 44.9 million were lower than expected, impacted by slightly softer private label demand, primarily in the U.K., together with delayed launches of new contracts and product mix changes. Adjusted operating profit declined by GBP 1.1 million to GBP 3 million, mainly due to the aforementioned lower revenue. However, because of good cost control, operational efficiency and again, product cost engineering, the division continues to deliver a healthy return on sales, in line with our medium-term expectations. Finally, as with Unit Dosing, this business segment has a good pipeline for growth into the future. Now moving on to Aerosols and Asia Pacific. Between them, Aerosols and Asia Pacific represents circa 9.5% of the group's revenue. Over the last few years, our Aerosols division has been a huge success story. This was no different for the first half of 2026. Volumes grew by some 14.6%, whilst revenue grew by 18.1% to GBP 33.9 million, delivering an adjusted operating profit of GBP 2.1 million and closing in on our midterm return on sales ambitions. The growth is supported by significant contract wins in Germany, combined with personal care launches elsewhere in Europe. The first half of financial year 2026, also saw the continuation of the significant investments for capacity expansion at the Rosporden site in France. This investment is on course for completion in the second half of this financial year. Our smallest division, Asia Pacific, has been impacted by subdued private label demand in Southeast Asia, and has had to focus on cost management to preserve its profitability. That said, it has made good progress in private label household in Australia. Whilst currently being an incubator business, we still remain optimistic that there are significant opportunities, which will mean that we will be able to grow this business over the next couple of years. Now looking at costs. For the first half of the 2026 financial year, input costs remained flat, benign overall. But as you can see from the left-hand chart, they still remain significantly higher than in 2021. Inflation is still prevalent and some costs are still rising, albeit at slower rates than over the last few years. Hence, McBride's continuing focus on margin management has been key to the delivery of this solid set of results. This consistency of performance means that McBride as a group remains very well placed to sustain underlying profits in future years. As with most businesses, technology remains a key focus. And indeed, McBride has embraced new technology, believing that this will be a key positive differentiator going forward. Chris has indicated that the Wave 1 of the S/4HANA project has successfully gone live in the U.K., and we expect to complete the rollout of the project during the 2028 financial year, which is in line with what we indicated when we set sale on the project. We continue to invest into and benefit from our data analytics function. Real-life example of this capability is some of the market analysis information that you saw in Chris' earlier presentation. In terms of overheads, as you would expect, we continued our focus on cost optimization. Overhead costs have been tightly controlled with reductions in both distribution and administrative costs as a percentage of revenue. Moving on to other financials. Year-on-year interest remained broadly flat as did interest cover. Exceptional costs were GBP 2.4 million relating to the SAP S/4HANA implementation and an ongoing review of the group's strategic growth options. Regarding taxation, the effective tax rate in the first half was 30%, which compares to the first half in 2025 of 25%, but a full year rate of 32% in 2025. The actual tax paid in half 1 was GBP 1.8 million compared to GBP 7.1 million the previous year as the cash payments normalize for the payment of in-year liabilities only as opposed to FY '25 when there was an element of catch-up from the financial year 2024. At GBP 14.8 million, capital expenditure levels were up from GBP 12 million the previous year as the business continued to invest in the future. It is expected that the group will spend around GBP 30 million to GBP 33 million over the current full year and that the level of expenditure will continue at circa GBP 30 million for the following year before dropping off in line with the completion of the SAP project. Finally, on to net debt. As indicated at the start of my presentation, the business continues to generate strong cash flows and resulting in net debt control and a small increase to GBP 120.6 million. The business has strong core liquidity with around GBP 135 million of headroom and also has an unutilized EUR 75 million accordion facility, providing continued optionality for future capital allocation decisions. In conclusion, the business continues to be run well. The share buyback delivers good value for our shareholders. As a result of the successful SAP global template implementation, future implementation risk has been significantly reduced. And the business still has optionality through its balance sheet strength. Thank you, and I will now pass you back to Chris.
Christopher Ian Smith: Thank you, Mark. As you've heard throughout the presentation, business momentum is good, and the first months of our second half have seen volumes in line with our estimates, with the start-up of new business wins still on track to meet the time lines required to meet our second half targets. As mentioned earlier, the private label market overall is expected to maintain its strong position of recent years with some potential for further growth if private label continues to grow share. We expect material costs to remain stable, possibly with some weakening of pressure for natural alcohol-based materials and recycled content plastics. Other inflation is being managed through tight overhead control and vigilance on allowing new costs to creep in. Our teams have delivered really well on all our transformation initiatives and the recent success of such a major milestone of the first SAP go-live gives confidence about the rollout of our global template to all other locations over the next 2 to 3 years. This should be seen as a big risk reduction point for investors, and the focus will turn to driving expected efficiencies, enhanced insights, and better decision support. At this stage, nearly 2 months into the second half, I'm pleased to confirm we expect to deliver full year results in line with analyst expectations. With our normalized funding position alongside ongoing high profitability levels, the reset resilient and stronger McBride is poised to consider a range of future value creation ideas to support our midterm ambitions to grow the group further and deliver still higher margins. Thank you. Now for questions.
Unknown Executive: Yes. Thank you very much, gentlemen, very comprehensive and impressive performance continuing, which is good to see. Right. Plenty of questions already in. So let's dive in. First of all, about S/4HANA and the Wave 1. Can you comment a little bit more about what you've learned from the process, because no systems integration usually happens without some teething issues. And we have a related question, why did you choose to roll it out in Liquids first?
Mark Strickland: Shall I pick that one? So we've learned an awful lot through the process, far, far too much to sort of go through in this 30, 40 minutes. The biggest one is testing in volume. It's the volume testing, particularly in warehousing. We had a very, very narrow issue within what's called a V&A, a pick and dispatch area. Third-party logistics worked well. Third-party warehousing worked well, but Middleton has a very specific need for putting product into and out of what's called very narrow aisles. And we didn't test the volume enough through that. Ultimately, it worked, but we became a little bit capacity constrained. So testing volume was a big learning. Training was a little bit last minute, possibly need to do a couple of weeks earlier, but we also know we don't want to do it too early. And we also concentrated on what's called the happy path. So when things go right, we probably, in hindsight, should have concentrated a little bit more on what's called the unhappy path. So how do you correct things when they go wrong. But overall, I've got to say I'm very pleased with the implementation. There's lots of peripheral learnings. There always are. But I think the way the whole team pulled together really displayed the McBride ethos and the McBride values, both the project team and the site team. It was a combined effort. Sorry, what was the second part?
Unknown Executive: Why U.K.?
Mark Strickland: Why the U.K. Essentially because we had two instances of SAP, one in the U.K. and one in Europe. And the U.K. only had 2 sites. So it was the simplest to move across on to new SAP. We would have had to move 12 sites and we would have ended up with 3 different instances of SAP, whereas moving the U.K., we only -- we kept 2 instances. So it's a bit of an easy decision really.
Unknown Executive: Understood. Thank you. A number of questions about inorganic growth. And Chris, you referred to your low EV/EBITDA rating, although it is improving. We have a question, is that a hurdle for you to make larger acquisitions?
Christopher Ian Smith: Well, yes, I think certainly, when it was down at 3 and a bit times as a multiple, it was a huge hurdle. I mean, look, the level of M&A that we might be looking at and in fact, the inorganic can also extend to contract manufacturing opportunities with where you might need capital. You may not need new sites. You just may need to fill your existing facilities with new capital. The ranges of values that we're talking about are all manageable with our debt facilities. Look, we look -- there's a lot of benchmarks in the industry at the moment around what people are paying for home care businesses with the Reckitt transaction with Advent recently. We also know there was one in Spain recently. So we have a -- I think the industry is kind of honing in on what that range of multiples need to be. And I guess having got the share price back up a little bit and got better value for shareholders with our rating today, we get closer to making it not so meaningfully difficult, if you like. Look, and I think in most cases, on the M&A side, the synergy benefits can be quick. And therefore, we look -- we'll also look at speed with which we get that multiple down post acquisition with synergies. So we're acutely aware of the challenge around multiples, but I think we've narrowed the gap, and I think we know what we need to pay. And I don't think shareholders will be -- we're not going to be out there paying 8x or 9x for anything. So people shouldn't worry.
Unknown Executive: Okay. And looking at potential targets, could you say in a perfect world, which we definitely don't live in, which segments or which region would you most like to increase or find bolt-ons to add on to the current structure?
Christopher Ian Smith: Yes. Look, we will absolutely align our M&A targets and contract manufacturing, frankly, with the key missions and the strategies of the company, right? So look, we're a European-focused business. So we're not going to be, I suspect, suddenly acquiring stuff in the U.S. or South America. Our focus is in Europe. There's a little bit of obviously, focus in Asia around how we develop that business, that incubated business that Mark talked about to make that more substantial, a little like we've done with Aerosols, right? We've got that business now to be credible and valuable to us. And we're on the same mission, of course, with Asia. But look, the bulk of it will be in Europe. And then we talk strongly about the bulk of our activities are going to be in the higher-margin, high capability categories where we're strong. So laundry, dish, that sort of area, probably the main focal areas.
Unknown Executive: You've pre-empted a question here about contract manufacturing. Is that another part of the business quite competitive at the moment that you would still be looking to grow capacity and scale in?
Christopher Ian Smith: Totally. Yes. I mean, we've said strongly, we want to get contract manufacturing to be 25% of the business. We don't want to do that by shrinking private label. We want to do by growing contract manufacturing. We believe that 25% is the right level for us to have a kind of core, core layer of solid long-term partnership relationships with some branders for categories and volumes that may not be efficient for them to manufacture. So yes, absolutely, that's a key part of our focus, and it's another potential use of capital to create long-term value. So absolutely. There's quite a lot going on in the industry at the moment. So we're quite busy with potential opportunities, nothing certain, but there's more at the moment perhaps than we've seen for some time potentially out there.
Unknown Executive: Yes. This leads on to a question about capital allocation and perhaps an opportunity for you to say how, how long gestation period certain acquisitions can take to come to fruition. But the question submitted is, how do you look at the contrast between value in your own shares and doing more buybacks or allocating it in terms of nonorganic growth?
Christopher Ian Smith: Well, we're constantly looking and reviewing this, of course. I think we like to think of -- we believe we've got a short-term need sometimes like with the share buyback right now and the acquisition of shares for EBT. We recognize that we have investors that like the dividend stream, and we think that the share and the equity is a mixed proposition on index re-rating as well as cash from things like dividends and other shareholder returns. But we also recognize we -- the industry and I would say the McBride platform needs to expand in the mid and long term, and we recognize in this industry that consolidation of the space for the benefit of retailers. I think the sustainability journey and regulatory environment is going to become tougher, and you need to be bigger and bigger in this industry to lead. And I think -- so we have all those at play, and we have active conversations. I guess the Board's call here is at each juncture, what is the right decision. But I think we'll -- we've demonstrated in this last period a fairly agile and what's the word variable, not variable is the wrong word, mixed approach. We're looking at all options.
Unknown Executive: Yes. Well, that's the benefit of financial health and the balance sheet that allows flexibility to adapt to opportunities, I would think. Perhaps a couple of questions for you, Mark, on costs. Impressive progress. And the question is, you can't add infinitum cut costs as a percentage of revenues. So what do you think is a realistic target in the medium term as the transformation benefits all work their way through?
Mark Strickland: Yes. So I think it's a very good point. At the end of the day, on occasions, it may actually be worthwhile putting extra cost into the business because the benefits you get back from that extra cost far outweigh the cost. So I don't have a particular target in mind because it depends on the different segments of the business. So the different segments will have different overhead needs. As we invest into technology, I would hope that a lot of the speed of decision-making comes down, but also the cost of that decision-making comes down. But also, let's not forget that the software companies also like to put up the license fees as well for utilizing that software. So it is a balance. I don't have a specific ratio or a specific cost in mind, but I always talk about cost optimization, not necessarily cost saving because we can't save ourselves rich. We do have to invest in this business, and we do have to grow the business. Saving will keep us in business, but I don't know anybody that's ever saved themselves, rich.
Unknown Executive: Wise words, wise words. And specifically, on input costs, we've got a comment, which is very true that you're not involved in the supply of precious metals or rare earths that can make some businesses in a particularly painful position at the moment. But are there any concerns within the supply chain more about the cost of shipping or anything like that as you move some of the basic commodities around to your sites?
Mark Strickland: So at the moment, being honest, it's pretty benign. It's relatively flat, okay? We've got underlying inflation, but we can recover that through efficiency. So at the moment, we don't foresee any particular headwinds. The only caution I would say is we don't know what Donald Trump may do next. So I guess -- but that's a concern for everybody. But everything else being equal, we see the raw material environment, the shipping environment as being pretty benign.
Unknown Executive: Okay. And probably also for you, Mark, you've mentioned that in the half, there were more -- the mix saw more lower-value products. Is there any specific factor behind that? Or might we see that rolling into the second half as well?
Mark Strickland: I shouldn't get overly concerned that it's a lower headline price because ultimately, we're interested in pound notes margin. And it will depend on which retailer, which product sets, what we've won, what we've lost -- sorry. So there will always be a natural ebb and flow in our mix going through. So no, I don't think there's anything -- there's certainly nothing concerning me about our mix at this stage.
Unknown Executive: I suppose related, not necessarily a question from McBride, but someone has commented that is there an ongoing trend of end consumers effectively getting less volume in their product at a higher cost. I suppose that all weighs up in the battle for market share with brands.
Christopher Ian Smith: Well, there's a trend a bit some sustainability driven even cost of transport and so forth to compaction. So I mean, it's even quite variable across Europe. If you buy a laundry liquid in Southern Spain, you might have to need weightlifting training to lift your 4-liter bottle home. The same number of washes in Germany or the U.K. will be in a 1-liter bottle. And there is a perception -- potential perception of value gap when you make that transition because what you're buying looks a lot smaller. So -- but I think it's the right thing to do, and we will continue to progress that on the grounds of sustainability and -- we got a lot more bottles of 1-liter laundry liquid in a lorry than 4-liter bottles, right, and value too. So I think the value position for consumers is perhaps more driven by quality of performance than it is around pure value position in price points on shelf because the reality is that the private label continues to outperform many of the brands in tests and wider and wider audiences are learning that. And I think understanding the value option does just as good a job, right? So I think we will continue to fly the flag for private label as a whole, not just for McBride, of course, around helping consumers understand the value. It's not just a product for expression for poor people. This is for smart people because why do you need to spend twice the price and have no improvement in your cleaning performance. And by the way, most of the things you buy, you put under the sink and never look at again. So it's not that you're buying something beautiful to look at. So I think the consumers are becoming more savvy and the retailers are supporting that with their proposition.
Unknown Executive: Then perhaps just a couple of more strategic questions to finish with. Can you comment as much as you'd like to about what your various competitors in certain divisions are doing? And also the same question for contract manufacturing.
Christopher Ian Smith: Look, I think the industry as a whole is relatively steady, I would say, in the private label space. I think we see quite an orderly setup at the moment. Look, we've all -- the private label industry -- the private label share chart I showed earlier, which went from around 31% up to 36%. You think that's only 5% or 6% growth. But actually, it's 5% or 6% on 30%, right? So the private label space, the majority of the big players in private label are still active in private label. They've all grown with that market, and I think we've all been going through that. And of course, it's helpful when you -- we're a manufacturing business, right, putting volumes through manufacturing plants is always helpful in terms of overhead costs and recoveries. So nothing particular to comment, I would say. The contract manufacturing space, there's obviously some publicity around the Reckitt's disposal of home essentials into private equity hands. That's going through a transition at the moment. That may create opportunity. And we are seeing on average across the European space, at least and some to Asia where there's optionality being considered on outsourcing more perhaps than we've seen for a while. So maybe I'll leave it at that, Andy.
Unknown Executive: Okay. And then I think good notes on which to finish. You referred that consistently to very good progress against the Capital Markets Day targets that were set a couple of years ago. So there is a question is, given that rate of progress, might you be reassessing some of those targets and setting further medium-term objectives in the not-too-distant future.
Christopher Ian Smith: Well, look, look, we look at strategy every year. We look at our targets every year. We're not going to reset them every year, of course, in the public domain. But we would, of course, look at some point to update that and refresh that. We haven't set a time on that at the moment. In fact, Mark and I were just talking about it yesterday as to when that might be. But look, we are -- I'm a big believer in being clear on the direction we're taking the business, the understanding of that within our teams and for our customers and suppliers, of course, is super important. And we remain vigilant on adapting, course correcting, filling in gaps that we think we've missed all the time. So we don't sit still with those ambitions and those strategic ambitions. Yes, there will be a point maybe in the next year where we will have to do that update and refresh. But look, we're very positive about the progress. We need to continue to progress our medium-term ambitions of getting revenues over GBP 1 billion and EBITDA up to 10%. And Mark and I've always said that we wanted to continue to move the EBITDA up double again, right? And -- but we will need a bigger train set probably to do that than we've got today. But we're also going to do that in the right judicious way when the time is right.
Unknown Executive: Well said. Great. Well, can I thank our audience for their interest and the very interesting range of questions. You will receive a feedback format of this event, which the company would be delighted if you could share your thoughts over. As mentioned already, the deck use is on the McBride Investor Relations page, along with lots of other materials. In terms of looking forward, which the company can't be too specific about, there is, of course, a recent equity development research note after the interims with, I'm glad to say, an increased fair value of 245p per share that these 2 gentlemen are smiling at approvingly that I'd recommend you review for further detail. Last but not least, of course, many thanks to Chris and Mark, and congratulations not only to them, but the whole McBride team on many years now of very impressive progress, which we hope will continue through the second half and beyond. So thank you for your time, gentlemen.
Christopher Ian Smith: Thank you, too. Thanks, everyone.